Winnie Ling: Good afternoon, and welcome to Blend’s Fourth Quarter 2023 Earnings Conference Call. My name is Winnie Ling and I'm Head of Legal for the company. Joining us today are Nima Ghamsari, Co-Founder and Head of Blend; and Amir Jafari our Head of Finance and Administration. After Amir and Nima delivered their prepared remarks, we will open up the call for questions moderated by our Investor Relations Lead, Bryan Michaleski. You can find the supplemental slides on our Investor Relations webpage at investor.blend.com. During the call, we'll refer to certain non-GAAP measures, which are reconciled to GAAP results in today's earnings release and in the appendix to our supplemental slides. Non-GAAP measures are not intended to be a substitute for GAAP results. Also, certain statements made during today's conference call regarding Blend and its operations, in particular, its guidance for the first quarter of 2024, may be considered forward-looking statements under Federal Securities Laws. The Company cautions you that forward-looking statements involve substantial risks and uncertainties and a number of factors, many of which are beyond the company's control could cause actual results events or circumstances to differ materially from those described in these statements. Please see the risk factors we've identified in our most recent 10-K, 10-Q and other SEC filings. We're not undertaking any commitment to update these statements if conditions change except as required by law. With that said, I'll now turn the call over to Nima.
Nima Ghamsari: Thank you Winnie and hello everyone. Welcome to today's earnings call. The past year was one of focus and execution for Blend and the fourth quarter proved to be no exception. Let me walk you through some of the highlights first. To start with on the Consumer Banking side, we signed several major deals in Q4, including Citizens Bank, a top 20 bank by retail customer base. And we had a solid slate of deployments that give us a high degree of visibility into our expected revenue growth for 2024. As full rollout of all existing customers, including those signed but not yet deployed, we expect our Consumer Banking suite to be approximately $50 million in annual revenue run rate. 2023 was an expansion year for us and 2024 has already started strong. Our Consumer Banking business is well received by existing and net new customers driving growth with a robust pipeline of 70 opportunities. On the mortgage side, we welcome two new top 100 financial institutions by retail customer base to Blend in Q4. We maintained our industry-leading market shares, and we continue to see adoption of our value accretive add-on products, expanding our economic value per funded loan and giving us even more leverage for revenue growth independent of the macro environment. And on the cost side, we delivered significant efficiencies across our business, allowing us to report ahead of our guidance for non-GAAP net operating loss and keeping us on track for our profitability target in 2024. Achieving this momentum despite 2023 being one of the worst years on record for mortgage industry origination volumes, increases our confidence in our ability to navigate the year ahead as the market looks to stabilize. And the cherry on top, we also signed two multiyear eight-figure deals in Q4, which validates the trend that our large stable customer base has continued to expand their relationship with Blend across multiple products. More customers than ever treated as a critical software powering their enterprise and we're happy to see this continue into the new year. Before I pass it on to Amir, who will go into more detail on the financial results and 2024 guidance, let me first dive deeper into the progress across these three focus areas. Starting with our Consumer Banking business, we're seeing growing interest across our entire product suite. This is starting to play out in a huge way for us. By the end of 2023, we had seven of the top 30 depository financial institutions by retail customer base, signed up for one or more of our core consumer banking products excluding our traditional equity products. And I'm pleased to announce that in Q4 we signed yet another significant inter-banking deal and multiyear partnership with Citizens Bank, a current mortgage and home equity customer, to help them deliver a more consistent, frictionless application experience to their customers for their other consumer products. Having one of the nation's oldest and largest financial institutions choose Blend as a key part of their digital lending strategy, is a strong validation of our consumer banking capabilities and we are proud to partner with Citizens to bring more value to their customers. This adds to our already strong revenue base. As I mentioned earlier, as full rollout of our current signed customer base, we expect our Consumer Banking suite to be at approximately a $50 million annual revenue run rate. Given that about half of this was signed in 2023, we have quite a number of active deployments. While it takes time for these rollouts to be completed, which has implications as to when we recognize revenue the market is starting to speak to the necessity of modern technology across all banking originations. And just like in our mortgage suite, our early success, starting with the largest financial institutions matches the playbook we applied in the early days of Blend with our mortgage product. We started there, and once we have proven the product could work at scale and for the most demanding institutions in the country, we took it to the rest of the market, leading to our almost 20% market share in mortgage today. This is exactly how we're approaching the consumer suite. We're only just getting started, and 2024 will be the first year we cast a broader net and plan to serve the customers of a variety of sizes. And cast a broader net is already working. Our pipeline in Consumer Banking alone is 70 opportunities and we're only two months into the year. We're very active in the market and expect 2024 to be another strong year in growth for our Consumer Banking business. Moving on to mortgage. Let's start with the tough news. 8% interest rates in Q4 led to lower mortgage industry volumes than forecasters were expecting. While MBA was projecting $380 billion in volume in Q4, inside mortgage finance and Fannie Mae data leads us to believe the industry was closer to $300 billion to $330 billion in Q4. Using an approximate loan size estimate, this translates to somewhere between 825,000 to 875,000 units or approximately 15% to 20% below the forecast from the MBA. We expect Q1 will be roughly similar unit volume to Q4 based on trends we have observed to date in the quarter. Despite this, we still achieved our Platform guidance range, which we credit to the strength of our customers in this market and the growing unit economics we are seeing even on lower loan volume. All we said when the industry consolidates, our customers would benefit because they are more efficient compared to the rest of the market. And we're seeing that in practice with many of our customers gaining market share and our overall share remaining very strong. On top of that, as I mentioned earlier, we signed two more of the top 100 financial institutions measured by retail customer base to our mortgage platform, including another top 10 credit union. We're seeing customers use this environment to set up a scalable tech forward foundation for the future. Already this year, we've seen a credit union sign away from a competitor and deploy our solution within 60 days to prepare for the future. Adding to that, we have approximately 30 other opportunities in our mortgage pipeline, including one of the largest financial institutions in the country. Our key add-ons like Blend Close are also driving pipeline growth and improved unit economics, and I'm encouraged that this trend will only continue in 2024 as some of our largest customers are currently in pilots to enable the defaulting of e-closings across their entire loan portfolio. Digital closings have obvious benefits for consumer experience, but shortening the time line to close a loan has a meaningful financial benefits for our customers as well. The growth and adoption of digital closings is helping grow our unit economics and setting the industry standard for a modern closing experience. We're also seeing tailwinds on the adoption from state regulators as well with California approving out-of-state remote notarizations as of January 1 this year. These are encouraging trends that we believe will propel our mortgage suites economic value per funded loan even higher than the record $91 we saw in this quarter. These advancements highlight only some of the innovation we had in 2023. We were early integrators of soft credit verifications and driving asset-based income verification and also kicked off work on a Spanish language flow. We also added early funnel features to help drive conversion as well as more features for loan officers to serve their customers better than ever. Flared on top of that was our announcement of Blend Copilot, a generated AI product on our platform designed to turn every loan officer into a super loan officer. And all, our customers expect us to drive innovation in the space and 2023 was no exception. The combination of all these factors increased our confidence in the embedded leverage of our business to a recovery. Not only do we have customers gaining share, we're signing new customers and they're using more of our products. There is, of course, some churn in a tough environment as there's consolidation and some customers have gone to lower cost or free options to manage a low-margin environment, but this is more than offset by the other vectors of our growth. Lastly, as we are for recovery, we're investing ahead of it, preparing our customers for scalability in what will likely be a very different market in 2025. In particular, we're building a next-generation refinance flow during a historically bad time for refinance volumes. Why? Because the longer this high rate environment lasts, the larger the backlog of customers who will benefit by refinancing when rates ultimately come down. To help support this, we want to make sure our customers are set up to do this with our current teams without having to massively scale up resources when rates come down and streamlining time lines for consumers who will desperately need to save it. Achieving this name monumentally complex task and one that our team and our platform are uniquely positioned to solve, involves combining existing customer data, all the verified third-party data sources we've worked on for over a decade to integrate with, the ability to quote and approve a loan in real-time and delivering an accurate actionable loan estimate to the consumer can lock in their improved mortgage rate and savings and prepare for their digital closing. It's a culmination of every aspect of our software suite and as a direct result of our focus on creating simple proactive and instant consumer experiences. We believe this will mean our customers can capture a greater share of refinances at a lower cost to them and to consumers during the recovery. It's a win for everyone and something that our customers can use to come out the other side stronger. Shifting gears. Lastly, I'd like to give an update on our final priority which is to manage our business to non-GAAP profitability this year. This was a huge effort for the company in 2023 and I'm proud of the amount of progress we made. We managed to reduce our operating expenses by over $90 million in 2023 and improved our net operating loss in every quarter of this past year. We've taken out a significant amount of costs, but to be clear we've done it in a way that strengthens structurally and sets us up for much more efficient growth. That's where our blend builder platform become such a critical differentiator for us because of its built-in functionality and configurability, we believe we'll be able to innovate and scale at an order of magnitude faster and cheaper than before we had blend builder deployed. And as the market eventually recovers we have significantly enhanced our operating leverage for each additional loan or consumer product that funds on our platform. We'll continue to manage our expenses and revenue to ensure we will reach our target non-GAAP operating profitability by the end of 2024 regardless of the macroeconomic environment for this year and without sacrificing our commitment to innovation and supporting our customers. Even the fourth quarter of 2024 were to remain at historically low levels of origination from this past quarter our profitability target for this year would not change. For reassured that the continued growth in consumer banking, the improved economics in mortgage and continuing to drive efficiency give us sufficient insurance to achieve this goal regardless of the macro. Overall, I'm encouraged by Q4 being another period of strong execution. One we remained on track with our growth plans for our Consumer Banking business. Two, we've protected the most important parts of our mortgage business and are increasing the value we deliver to customers. And three, we're staying committed to achieving non-GAAP profitability this year. Now I'll pass it over to Amir who will go over our financial results and 2024 outlook. Amir, over to you.
Amir Jafari: Thank you, Nima and good afternoon, everyone. I'm pleased to be joining you today to discuss our financial results for the fourth quarter. Our fourth quarter marks another period of strong execution. I'm encouraged by the progress we made in 2023 and more importantly the momentum we are building across the business. We improved our operating loss in every quarter of 2023. We are picking up pace as we move forward. I'm encouraged by what's ahead for 2024. Before I jump into the results, let me just remind you that unless otherwise stated all results or non-GAAP. Total company revenues in the fourth quarter were $36.1 million in line with our guidance range. We reported platform revenue of $25.9 million which also fell within our guidance range. Our mortgage Suite revenue declined by 3% year-over-year to $17.2 million despite the origination environment declining approximately 20% to 25% over the same period by our own estimates. Our mortgage suite economic value per funded loan rose by $10 over the same period last year reaching $91. This puts us ahead of schedule on the targets we shared with you at our Investor Day with plenty of runway to expand this further as our value accretive solutions like Glen closed are growing in adoption quickly. Turning to Consumer Banking our consumer banking suite revenue totaled $6.4 million in Q4 an increase of 15% as compared to the prior year period. This growth reflects new deployments and ramp-ups across our builder powered consumer suite of offerings over the past year as well as contribution from incremental platform fees. As Nima shared with you these deployments and are already live customers give us a direct line of sight to $50 million of revenue run rate once fully ramped keeping us well on pace to the 35% growth CAGR we shared at Investor Day. We also generated $2.3 million of professional services revenue up 11% from last year due to fees associated with our ongoing slate of consumer banking and mortgage deployments. We reported title revenue of $10.2 million near the high end of our guidance range and in line with our expectations amidst a challenging environment. Moving on to gross profit, total company non-GAAP gross profit was $19.9 million, which was 33% above the same period last year, despite a 16% decline in total revenue. Our non-GAAP blend platform segment gross margins showed continued improvement reaching 71% compared with 59% the year prior. For software, we reported non-GAAP software gross margins of 79% up from 72% from the same period last year. Our gross margin expansion reflects the benefit of increased high-margin consumer banking fee revenues as our consumer banking segment now accounts for 27% of total software revenue compared to 24% from the same period last year. Our margins are also benefiting from the vendor optimizations we've implemented within our mortgage suite. We continue to be optimistic regarding our gross margin performance and affirm our belief that 80% represents an achievable target for our non-GAAP software gross margins in 2024. Our non-GAAP title margins came in at 15% for the fourth quarter increasing meaningfully year over year from the fourth quarter. This time last year, when we reported negative gross margins for title, this improvement reflects the ongoing cost optimization programs we've undertaken and highlights our ability to align the costs deliver this service for the current economic climate. Non-GAAP operating cost for the fourth quarter totaled $33 million, compared with $58.1 million in the previous year. This improvement reflects the full realization of all cost savings initiatives we started last year and additional programs we've identified to ultimately manage our cost per employee to more competitive market rates. As we move forward, these initiatives are gaining momentum, and we continue to identify more areas for efficiency without compromising sustainable growth and investment. Our non-GAAP loss from operations was $13.1 million in Q4, coming in well ahead of the high end of our guidance range and fishing the year having improved this in every quarter of 2023. We expect to continue this momentum into 2024 as we track towards our ultimate goal of reporting the first quarter of non-GAAP profitability in Q4 this year. While we continue to take efficiency actions that we believe could accelerate this earlier in the year, the timing will ultimately remain dependent on the level of origination activity, which is still uncertain. With that, we remain committed to this goal and have identified areas to adapt our operating model to achieve this profitability target should the market environment deteriorate further. We saw strong renewals and new customer signings that incorporated committed fees. This translated into growth in our remaining performance obligations this quarter, which reached $94.9 million in the fourth quarter. We expanded RPO by more than $35 million versus Q3, reflecting five new seven-digit contracts and renewals in the quarter. We expect to see continued expansion in our RPO as we land new logos, execute more renewals under our subscription model and as we enter into Platform deals with longer and larger commitments. Q4 marked another quarter of improvement in our cash burn as measured by our free cash flow. We continue to make improvements here, including the reduction of our interest burden following the opportunistic pay down of our term loan. As a reminder, during the quarter, we prepaid $85 million of our term loan balance and amended the maturity date to provide for a one-year extension to 2027 provided we meet certain conditions. With our balance sheet in strong position, we made a decision to reduce our debt load to optimize our capital structure and add optionality around the maturity of this obligation. Our actions to operate with efficiency in combination with our resilient top line and improved margins are having a significant impact as we reflect towards positive cash generation. Now turning to the balance sheet. Our cash, cash equivalents, marketable securities $144 million as of the end of fourth quarter. We are confident we have taken the appropriate measures to ensure our business remains well capitalized and that we have sufficient liquidity based on our current projections and in this macro environment. Lastly, let me move on to our outlook for the first quarter of 2024. We expect Platform revenue to be between $22 million and $24 million in Q1 2024. We expect our title business revenue to be between $10.5 million and $11.5 million. Our total Company revenue outlook is expected to be between $32.5 million and $35.5 million for Q1. Our guidance is based on our internal assessment of customer level growth, as well as our own outlook of Q1 origination activity, based on the application volume observed to date through our own customer base, which we feel is representative of the broader market. We see Q1 mortgage volume to be consistent or slightly below Q4 2023, for approximately 800,000 to 875,000 total originations. Our total non-GAAP net operating loss is expected to be between $12 million and $14 million for Q1, with the midpoint representing a greater than 50% improvement year-over-year. We believe we have built the business and operating model to respond swiftly to the market fluctuations, and we'll continue to adapt as conditions evolve. I want to reiterate, that we remain confident in the long-term targets we've shared with you at Investor Day, and are encouraged by the strong set of opportunities we have in front of us. As we continue to execute, we are building resilience in our model against the short term fluctuations in the market and adding further diversification in our business that will serve as countercyclical offsets in the future. This is paramount to our strategy within our second phase, and we look forward to continuing to update you on the progress here. With that, thank you again for joining. Bryan. We're now ready for questions.
A - Bryan Michaleski: Thank you Nima and Amir for your remarks. With that, we'll begin the Q&A portion of this call. Our first question comes from David Unger with Wells Fargo. David, you can go ahead, and unmute and please state your question.
Q – David Unger: Thank you Thank you very much and thanks for taking the question. Flood covenant [ph] prepared remarks. I appreciate it. So I definitely want to get a better sense for Blend stands relative to its 2026 forecast provided from the Investor Day. Obviously rates have been less favorable since and maybe the base case is closer to the conservative case today, based on the updated mortgage volumes. That said, I wonder if the lower volumes, and capture market share or revenue per funded loan in a good way. I heard the comments on the big pipeline. So wondering, if the challenge macro can keep improving your market share given your strong footprint? Any color there would be great.
Nima Ghamsari: Yes, good question. Thanks, David. Couple of things, one, we definitely are seeing some of our customers gaining market share in our numbers and taking -- and that's one piece. And we mentioned that earlier and that's how we've really maintained and plan to grow market share over time, on top of signing new customers. The other thing I would say is, they are using this time to get more ready to scale and that's doing things like digital closing. So you're not sending paper back and forth, with title companies. And there's a lot of those things, not only help them, but help us not on the market share side, but help us on the revenue per funded loan side. So, those kinds of things are the baseline and then some of the new logos. I also mentioned that we had one of the largest banks in the country, as a potential new logo for us. That's in the pipeline. And so we're seeing a lot of interest across the board.
Amir Jafari: And David, just to answer the first part of your question, with regards to the 2026 number, we still feel good about what we shared at Investor Day across both mortgage in terms of the long-term outlook, and to your point, we obviously, gave those scenarios intentionally and also with regards to consumer banking reiterated, just by what we shared in the prepared remarks.
Bryan Michaleski: Our next question comes from Ryan Tomasello with KBW. Ryan, you can go ahead and unmute
Q – Ryan Tomasello: Hi everyone. Thanks for taking the questions. As we think through the components of the fully loaded revenue per funded loan opportunity in mortgage, are there certain areas you think are more actionable near term. For example, income verification product seems pretty interesting relative to the incumbent solutions out there. Just trying to think about, what are some of the low-hanging fruit opportunities there to grow, revenue per loan and just how you're thinking about the income verification opportunity in particular?
Nima Ghamsari: Well, just to call out, we do have a really good near-term pipeline of Blend income products. And that's a nice product, because it's very simple to turn on. It's a flip of a switch and it pulls in new revenue for us in, within a quarter of them and signing that deal typically. But I think where we see the most near term upside Ryan, is on digital closing side. And in particular and you know it's and remote online notarization is becoming very important for our customers. And we're seeing improvements around even states expanding their coverage of what they allow. California had a big change earlier this year. And our customers are taking note because it drives real savings for them. I kind of said this in the prepared remarks but one of our biggest customers is doing a standard rollout around every single loan going towards remote online notary by default. And, of course, there are exceptions and the consumer can opt out if they really don't want to do that but those are really good for the consumer. It's really good for the bank or lender and of course really good for Blend as well.
Ryan Tomasello: Great. Thanks for that color Nima. And then just as a follow-up on the remaining performance obligations included clearly strong growth in the RPO metric, $36 million sequentially. Just says the market maybe starts to focus more on that disclosure going forward. Can you just help us understand what is included in that metric given the different contract structures you have, for example, how the success-based pricing on the mortgage side is factored in there versus platform fees. Just as we think about the visibility we can get into your growth profile out of that metric going forward?
Amir Jafari: What you're seeing in it Ryan is exactly similar. You described with regards to is indicative of customers that we're signing up whether it's renewals and net new logos, it is and it illustrates both what we're seeing from a commitment perspective given our unit economic structure and our revenue model also platform fee. So the point you mentioned, and we've shared this historically, we obviously saw an incredible quarter this last quarter in terms of what we shared. We expect this to continue to grow as you see it just us continue to execute.
Bryan Michaleski: Our next question comes from Joseph Vafi with Canaccord. Joe, you please go ahead and unmute.
Joseph Vafi: Can you guys hear me?
Nima Ghamsari: Yeah, we can. Go ahead, Joe.
Joseph Vafi: Sorry about that. Probably focused on the consumer banking sector a bit here for a second and kind of talk about what are some of the dynamics going on here with some of the strong recent signings. You know, obviously, there's a continued war for deposits going on out there amongst financial institutions as consumers look for the best interest rate and come and banks look not to have their customers turn those deposits. Wonder if you could balance that versus product offering versus the competitive landscape there. Provide us a little more color on how you're winning some of these new clients?
Nima Ghamsari: Yeah, it's a good question. And I think that the hardest parts of opening a new deposit account I'll break into three different components. The first part is you have to be really good at fraud verification. And we have connections from fraud providers to some of our partners. We're not a fraud engine ourselves. We connect to some of the best ones in the market and we do quite a bit of orchestration around that. So that's one piece. The second piece is actually funding and making that your primary deposit account that's something very, very important to our customers and something that we help with. We have the ability to fund in so many different ways now debit cards ACH, direct bank connection, wire transfer and those things are all built into the Blend platform now to maximize deposits. And then the last piece, which is probably the killer app for Blend is it's not just about getting that deposit relationship Joe, it's about turning that deposit relationship into a deeper broader relationships where we can do things like cross-sell that deposit relationship as part of the mortgage offering, or add a credit card to their deposit account opening with alongside their debit card opening. And so that becomes a customer for life for that institution. And that's pretty unique to Blend. I mean, we’re the only platform that solves for mortgage and deposit accounts, which are our two primary product offerings we’re most focused on this year, but all the other products that they might have as well and credit cards and personal loans, auto loans, et cetera. And so I think those are the core differentiators of Blend and where we're spending the most time as we go to market and where we're seeing us win deals with customers who not Blend yet at all.
Bryan Michaleski: Our next question comes from Dylan Becker with William Blair. Dylan, you can go ahead and unmute.
Dylan Becker: Hey, guys. Appreciate the questions here. Maybe to Nima starting with you on mortgage, you kind of talked about investing ahead of a potential inflection into 2025. And you guys have done a really good job of controlling what you can control there in gaining share and increasing that take per funded loan. But just a broader sense of kind of how you're thinking about that that landscape evolving over the next kind of several years here, again given, it seems like you're in a better position now and you're starting to see kind of some of those originations start to stabilize certainly relative to the prior few.
Nima Ghamsari: Thanks for the question Dylan. And I'd say we're ahead of schedule. And you see this in the revenue per funded loan ahead of our 2026 targets that we shared at Investor Day on the revenue per funded loan. We're ahead of where we had planned to be and that's because our add-ons like the blend close out on are just getting really wide adoption from our customers. And actually, I would say it's been very helpful to us that the market has stabilized in terms of volumes or haven't been going up a ton or down a ton. Now we were hoping they were been coming back up slowly earlier and they haven't. But eventually interest rates will go down. That will happen, but just the stability has allowed our customers to invest forward a little bit because they have visibility into their revenue and their visibility and what their budgets going to look like, they're worried about that changing is that stability has really helped us and helped our customers invest in things like digital closings, as well as the next generation refinance product that I mentioned on – in the prepared remarks. And I think is going to be so important for our customers to be ready for that refinance wave that's going to happen at some point, well before it comes into place. They can get their processes in order, get the right technology, which you know, hopefully, and this is what I described in the call and also the right people in place that often massively scale up their operations to support that.
Dylan Becker: Got it. Okay. That makes perfect sense. And then maybe one, other one too. I know the Builder solution. Obviously, pipeline seems pretty healthy here and it's early but as we think about kind of the long-term opportunity there for both mortgage and consumer. Wonder how you're thinking about that partner ecosystem evolution and kind of the opportunity there to layer on configurability and maybe again kind of validation, go-to-market capacity, things of the like. It seems like that could be something that is pretty interesting. But how are you guys thinking about the partner angle and leveraging builder going forward as well? Thanks.
Nima Ghamsari: Yes. I mean it I think of it as actually partners will probably be the next ones to really get Blend Builder platform and start to be able to build things that make sense for a broader set of markets that we historically haven't been able to focus on. I mean we at Blend have a limited capacity of not just building products but the product marketing, the marketing, the sales and deployment and being able to do that really, really well. We want to be really focused and why our focus is on the mortgage suite and deposit account opening products in particular. But I do think that there is such a powerful platform and it has taken all the components of origination and made them these building blocks that can be used, not just within banking but I think in other industries as well. And so we're sort of I think taking it piece by piece. We're really hardening the platform with our existing customers. We've already started conversations with some partners in the context of specific customer deployment some of the big ones that we signed last year to start to build out that muscle with them. I think it will take some time but I do agree that it will open up a lot of doors for us.
Dylan Becker: Great. Thanks, Nima.
Bryan Michaleski: Our next question comes from Mike Ng with Goldman Sachs. Mike you can go ahead and unmute.
Mike Ng: Hey, good afternoon. Thank you for the question. I just have two. First, on the consumer banking suite opportunity. You called out the potential to hit a $50 million annual revenue run rate. I was just wondering, if you could talk about the visibility reaching that. Could we -- could reach that our annual revenue run rate at some point during 2024? And then I just have a quick follow-up.
Nima Ghamsari: Yes, it's a good question. The way that we sort of calculate this is these are existing signed customers for rollouts that are already planned with them. In terms of when that happens, some of these things for what it's worth Michael or will sign a customer for two product lines have to dig one maybe they roll out the first product line in 2024 and the second big product line in 2025. And so, I don't think it'll all happen in 2024, but these are sort of pre-planned things that we've already started working on with our customers and a lot of cases to space out. And so -- and I just also want to call out, I should have mentioned this in our prepared remarks, about half of that signed last year. And so, we're feeling really good about the growth in that business. Again, it's going to take time for that revenue to come to be because of the way that we recognize revenue, but that business is really healthy and we're seeing a lot of interest. And I don't -- I don't know and give away too much on Q1, but the pipeline has been healthy and our customer list is growing. So something we're excited about.
Mike Ng: Wonderful, thank you. And just on OpEx, obviously, you guys have done a good job with OpEx coming in better than expected this quarter. And it seems like you're ready on track to hit that $130 million OpEx number for 2024 that you gave at the Investor Day. Are there opportunities to reduce OpEx further and exceed that 2024 target? And what factors might result in profitability coming sooner than the fourth quarter if it does? Thank you.
Amir Jafari: Thanks, Mike. I would say, starting with the latter as we think about it, obviously the macro has a component to that with regards to when it could we potentially have profitability faster. The piece that we're focused on is really what we can control. And it's indicative of just what you've seen on the top line, but also to your point where you're seeing with regards to our operating expenses, we have stated this. I think we'll continue to reiterate. We're looking at everything that we do just through the lens of operational excellence. We're checking and revamping a lot of our processes to ensure that there is velocity that there's efficiency. It's these types of things in addition to kind of what builders expose which is their ability for us to do things more efficiently, ironically as well. The three things that are allowing us to kind of get to the point that you're making which is we are we are performing quite well with regards to our expectations as it pertains to OpEx.
Mike Ng: Great. Thank you.
Bryan Michaleski: Our next question is a follow-up from Ryan Tomasello from KBW. Ryan, go ahead and unmute.
Ryan Tomasello: Hey guys. Thanks for taking the follow-up. Just on mortgage, I think you called out continued headwinds from churn. Can you quantify where the churn rates have been in recent quarters, whether on a percentage basis or revenue basis money? And also when do you think that might bottom out? And then also on the competitive side, how win rates in the mortgage business changed at all over the last year, just in general trends in terms of competition.
Nima Ghamsari: We don't have this. We don't share the broader sort of churn numbers. But what I'll say is that, we've actually, in aggregate, we've kept our market share pretty steady based on our calculations throughout the year. And so, while there is sometimes churn, I think the market share being steady and the revenue per funded loan going up, the combination of those two things, it's just setting us up for the future. And some of the customers that churned, who churn to lower costs and free solutions, some of them are already starting to plan and come back to us. Those kinds of things become you know indicative of I think where the market needs to be in the future which is being able to scale. As far as the competitive environment, I would say in the top 50 to 100. It's pretty similar to what we've always seen, Middleware suite banking credit union. That's our sweet spot. That's where I think we do the best the biggest banks and credit unions. We also have some of the biggest IMBs. And when we're brought into a process and we are competing head-to-head. I haven't seen any notable changes in our win rates in network. So if anything like I said earlier on that than the prior question as the market has stabilized and people are starting to look towards the future again, it's really benefited us.
Ryan Tomasello: Great. Thanks for that color. And then another follow-up for Amir, the share count guidance looks like it implies incremental growth of around two million shares in 1Q? And is that a reasonable run rate for share count growth going forward? And then just broadly, if you can discuss your approach to managing dilution from stock comp, if that's a focus as you think about managing the business to profitability inclusive of that of that burden going forward.
Amir Jafari: It is and yeah the point that you shared in terms of what you've seen from the 249 million to 251 million. We will continue to leverage obviously equity, because of the way we do. We want to in essence incentivize top talent. But we do it just within the confines of being very, very focused with regards to our overall dilution levels. You could see with regards to the Q4 performance. I think again as you think about this on a prospective basis, the best way for me to describe it is just know that it's an area that we spend a lot of time. We focus on it. And while we will continue to ensure that our employee population bases is incentivized given that as we do this on their backs. We will continue to focus on dilution you'll see those numbers tend to be a priority for us, Ryan.
Ryan Tomasello: Okay great. Thanks for taking the follow-ups.
Bryan Michaleski: All right. Seeing no further questions. This concludes today's earnings call. Thank you all for joining. Have a great day.